Operator: Good day, and welcome to IonQ Third Quarter 2023 Earnings Call. All participants are in a listen-only mode. [Operator Instructions] Please note, this is conference is being recorded. I would now like to turn the conference over to Jordan Shapiro. Please go ahead.
Jordan Shapiro: Good afternoon, everyone, and welcome to IonQ's third quarter 2023 earnings call. My name is Jordan Shapiro and I am the Vice President of Financial Planning and Analysis and Head of Investor Relations here at IonQ. I am pleased to be joined on today's call by Peter Chapman, IonQ's President and Chief Executive Officer; Thomas Kramer, our Chief Financial Officer; and Dean Kassmann, our Vice President of Engineering. By now, everyone should have access to the company's third quarter 2023 earnings press release issued this afternoon, which is available on the Investor Relations section of our website at investors.ionq.com. Please note that on today's call, management will refer to adjusted EBITDA, which is a non-GAAP financial measure. While the company believes this non-GAAP financial measure provides useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. You are directed to our press release for a reconciliation of adjusted EBITDA to its closest comparable GAAP measure. During the call, we will discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in our most 10-Q that we intent to file with SEC tomorrow. We undertake no obligation to revise any statements to reflect changes that occur after this call except as required by law. Now, I will turn it over to Peter Chapman, President and CEO of IonQ. Peter?
Peter Chapman: Thanks Jordan. And thanks to everyone for joining us today. Today, we are calling in from our new Seattle office, which is our location for manufacturing quantum computing systems at scale. We are very happy with financial and technical progress that we have made this quarter and so far this year. We are seeing a clear pickup in interest from early adopters of Quantum Computing, with revenue of $6.1 million in Q3 2023, representing a 122% increase further prior year period.  Moreover, we added $26.3 million in bookings during the third quarter. This puts us above the high-end of our previously announced annual bookings range for the year, with a full quarter left to go. Over the course of this year, we have substantially built the size and visibility of our sales pipeline. Though we expect it to continue to be lumpy, today we are pleased to announce that, by the end of 2023, we are on a path to exceeding our goal of a cumulative $100 million in bookings since the start of 2021. In 2022, we told you that, there was a possibility IonQ could sell a full Quantum system by the end of 2023. We have now sold four. IonQ's commercial and technical momentum continues to accelerate ahead of our original expectations. We believe our path to commercial advantage with AQ 64 is clear without requiring full error correction. Customers are expressing strong interest in our AQ 64 Tempo systems, with our AQ 35 Forte Enterprise Systems as stepping stones to develop quantum algorithms and ecosystems. Moreover, we're seeing growing interest in quantum networking, bolstered by our recent sale to the United States Air Force Research. The main conclusions you should draw from today's call are that: One, our pipeline is bigger and better than ever. And two, that our technical momentum, while always arduous continues to be ahead of schedule. Now let's dive into the details. IonQ is focused on ushering in the enterprise era of Quantum, and our financial performance is beginning to reflect that reality. Both public and private institutions are quickly coming to the conclusion that early adopters tend to benefit the most from Quantum technology and are eager to prepare themselves for the Quantum era. Those of you who turned into our presentation at Quantum World Congress in September, know that, we made two major announcements that demonstrate IonQ's continued market leadership. The first announcement is that, we have agreed to sell two systems to the United States Air Force Research Lab, or AFRL, in a significant deal for IonQ and the Quantum Computing industry as a whole. This $25.5 million deal includes two Quantum network node systems, which will be used for research and application development. Notably, These systems will use our cutting-edge barium cubit technology.  The second major announcement from Quantum World Congress was the reveal of two new IonQ system generation. IonQ Forte Enterprise will be a rack mounted production grade AQ 35 system. Forte Enterprise will deliver on our goals of reducing system footprint, while providing modularity, all in -- form factor that will integrate seamlessly into existing data centers. It will also be the first IonQ system generation manufactured at our new Seattle facility. Following Forte Enterprise, IonQ Tempo will be our rag mounted production grade AQ 64 system. We expect this upcoming generation to allow our customers to begin solving certain problems with quantum computing that even today's best classical supercomputers cannot, or what we refer to has commercial advantage. We have already announced plans to deliver one of each of these systems, Forte Enterprise and Tempo, to serve as QuantumBasel in Switzerland. We also recently announced that IonQ has officially reached AQ 29 on a barium-based system. This is powerful validation of our work on Barium systems, with their performance now catching up to that of our ytterbium based IonQ Forte. We believe the future of trapped ion quantum computers, will be enhanced by barium. And this milestone shows we are one step closer to AQ 64. In another technical road map announcement, I would also like to highlight an important development that we had discussed at our Analyst Day in September. IonQ now believes that, we will be able to reach AQ 64 and commercial advantage using error mitigation, rather than needing to implement full error correction. Error mitigation requires fewer cubits than error correction, and makes us even more confident in our ability to reach AQ 64 in the near-term.  Alongside our exciting progress on hardware, IonQ's commercial momentum is continuing to pick up steam. In September, we also hosted the official opening of the QLab alongside our partners at the University of Maryland. Speakers at the event included U.S. Senator, Ben Cardin; Maryland senate president, Bill Ferguson; and Maryland Lieutenant Governor, Aruna Miller. The QLab is just one example on how IonQ customers are creating ecosystems around quantum computing. In November, we were awarded an extension of our contract with Zapata AI and the U.S. Defense Advanced Research Projects Agency, or DARPA, to lay the groundwork for benchmarking quantum compute. On the corporate front, we announced last month that Chris Monroe, IonQ's Co-Founder in Chief Sciences, has returned his focus to quantum academic research and policy pursuits. We will continue to benefit from his future work via the intellectual property agreement that IonQ maintains with Duke University. That agreement grants us exclusive access to trapped eye and quantum computing patents generated by our Co-Founder's department. We are grateful for Chris's many contributions to IonQ, and early foundational scientific breakthroughs. As we enter IonQ's next stage of growth, and many scientific breakthroughs behind us, we are now entirely focused on executing against our roadmap, which requires more engineering and product development and science. In some respects, this represents a generational shift, but one that is natural for rapidly evolving companies. Our team is experienced from growing companies. We are building on that strength while continuing to add new capabilities for today, tomorrow, and the quantum future ahead. In our Analyst Day presentation last month, we introduced you to the broader lineup of our IonQ executive team. This team includes Dr. Dean Casper, Dr. Dave Mayhew, and Dr. Pat Penn, our VPs of Engineering, Product Engineering, and R&D, respectively. These industry veterans from Amazon, Blue Origin and Apple represent the next generation of IonQ technical leadership. With their vision and experience on our side, we are fully confident in our ability to deliver on our roadmap.  We believe IonQ Forte Enterprise and Tempo in their respective AQ 35 and AQ 64 milestones are right around the corner. Organizations are starting to recognize this potential and are seeking out contracts with IonQ as reflected by our strong bookings thus far in 2023. Our momentum continues to grow. Just today, we are honored to have been selected as a winner of Deloitte's technology Fast 500 award that recognizes the most innovative, fastest growing companies in North America.  In 2022, we told you there was a possibility IonQ could sell a full quantum system by the end of 2023, we have now sold four. Today, I can tell you our pipeline of customers seriously interested in purchasing IonQ systems is robust in gaining momentum each quarter. So, in addition to this being yet another milestone quarter for IonQ, we are even more excited about the bright future ahead for our business.  With that, I would now like to turn the call over to Thomas for a more detailed review of the financials. Thomas. 
Thomas Kramer : Thank you, Peter. Before we dive into our financial results, we are pleased to announce the new additions to our executive team. Margaret Arakawa, as Chief Marketing Officer; and Kurt Kennett, as Vice President of Software. Margaret brings to IonQ over 25 years of hardware, software, and cloud experience. At Microsoft, she was responsible for the multi-billion-dollar US windows and surface businesses. More recently, she served as the Chief Marketing Officer at both Outreach and Fastly, where she led all aspects of marketing. Kurt join us with over 30 years of software firmware, an integration experience at Microsoft, Nintendo and North Cell Networks. We are excited to welcome Margaret and Kurt to technology industry veterans to the IonQ team.  Margaret and Kurt will contribute their deep expertise to IonQs already robust bench of talent, which includes 65 PhD graduates, 84 masters graduates, and counting. Of these quantum pioneers, several earn their degrees in Chris Monroe's lab, Jungsang Kim's lab and or both. This ensures that IonQ’s scientific heritage is deeply ingrained in our DNA as we charge towards our next stage of growth.  Today, IonQ is proudly composed of some of the world's top quantum talent and industry leaders. Our patent portfolio includes 74 US issued patents plus another 163 US pending patent applications, as well as 19 international issued patents and another 111 international pending patent applications. Note that these patent portfolio figures are as of October 31st, 2023.  As Peter mentioned earlier, our team is in a strong position to execute on a roadmap, deliver on our AQ targets, and fulfill our customer needs. We have full confidence in our team and I want to personally thank everyone at IonQ for your hard work and dedication that has led to a record year for the company so far.  Now let's walk through this quarter's financial results in more detail. As Peter mentioned, we had an excellent quarter recognizing $6.1 million in revenue, which is above the high end of the outlook we previously provided. We successfully delivered on percentage of completion projects earlier than expected, which resulted in the acceleration of some revenue into the third quarter.  We exited the quarter with $26.3 million in bookings. This put us at $58.4 million so far this year, above the high end of our previous guidance range of between $49 million and $56 million for the full year, with the fourth quarter still to go.  Today, we are increasing the full year 2023 bookings projection range to be between $60 million and $63 million. Given that we are still early on in IonQ's commercialization phase, I want to reiterate my comment from prior earnings calls that we expect bookings to continue to be lumpy for quite some time.  Moving down the income statement, for Q3 2023, our total operating costs and expenses for the third quarter were $48.3 million, up 75% from $27.7 million in the prior year period, but still within our plan for the year. To break this down further, our research and development costs for the third quarter were $24.6 million, up 85% from $13.3 million in the prior year period. Recall that we are investing heavily in R&D and given projected demand, are also investing in our manufacturing capabilities to build more systems than previously anticipated this year.  Our sales and marketing costs in the third quarter were $5.0 million up 156% from $2.0 million in the prior year period. This increase was due to us growing our go-to-market function and additional sales and support personnel. As we continue our investment into our commercial efforts. Our general and administrative costs in the third quarter were $13.9 million, up 37% from the $10.1 million in the prior year period.  All of this resulted in a net loss of $44.8 million in the third quarter, compared to $24.0 million in the prior year. It's important to note that these results include a non-cash loss of $7.6 million for the third quarter related to the fair value of our warrant liabilities, which impacts our GAAP bottom-line results. You saw an adjusted EBITDA loss for the third quarter of $22.4 million compared to a $13.4 million loss in the prior period. Note that we projected an adjusted EBITDA loss for the year of $80.5 million. So, with this quarter's loss, we continue to expect to remain within our plan for the year.  Turning now to our balance sheet, cash, cash equivalent and investments as of September 30th, 2023 were $485.1 million. Tomorrow, you may notice those files a universal shelf registration statement with the SEC. While we continue to believe that our cash on hand is more than sufficient to get the company to cashflow positive and we have no immediate plans to raise additional capital, we also believe that opportunities for strategic M&A may arise in the near to medium term. We are comfortable with our cash balance, but want to maintain the optionality to raise additional capital to fund M&A and strategic growth. As a reminder, this announcement is not an offer to sell or a solicitation of an offer to buy securities, nor may there be any sale of securities in any state or jurisdiction in which such an offer, solicitation or sale would be unlawful prior to the effectiveness of the registration statement with the SEC and registration or qualification under the securities law of any state or jurisdiction. Any offer, solicitation or sale of any of these securities registered under the registration statement will be made only through the prospectus and the prospectus supplement once the SEC declares the registration statement to be effective. Now turning to our fourth quarter and full year 2023 outlook. We are pleased to increase our full year 2023 revenue outlook to $21.2 million to $22.0 million for the full year 2023. This represents our expectation that we may be able to accelerate delivery against milestones on some of our customer contracts in the fourth quarter. Additionally, we are introducing fourth quarter revenue guidance of between $5.3 million and $6.1 million.  Lastly, I would also like to highlight that the announced a file deal as Peter mentioned is expected to recognize revenue over the following 18 months, as the project works its way towards delivery. And as I already mentioned, we are also increasing our bookings guidance to between $60 million and $63 million for the full year 2023, increasing our target to reflect our successful system sales to AFRL in the third quarter. With that, I will turn the call back over to Peter.
Peter Chapman: Clearly, the IonQ team has been hard at work and executing diligently against our technical and financial road map. This is shaping up to be an another landmark year for IonQ and quantum computing as a whole. And I could not be more proud of our team that is making it all happen. What you should conclude from today's call is that: One, our commercial traction has reached a $100 million in bookings since the start of 2021. Two, our pipeline is bigger and better than ever. And three, our technical momentum continues to be ahead of schedule.  With that, I would like to turn the call back over to our operator for the Q&A session. Operator?
Operator: [Operator Instructions]. The first question comes from David Williams with Benchmark. Please go ahead.
David Williams: Good afternoon, and congrats on the really solid progress you are dealing with. I guess, first, Tom, you had talked about potential M&A activity in terms of your filing there. Could you maybe talk a little bit about what you think would be compelling or attractive in this market? Where are you looking to fill holes and what are the technologies out there that could be complimentary to existing business.
Thomas Kramer: Excellent question and thank you for bringing that up. First, I want to emphasize that, this is a shelf filing. And it is just something that we want to have in place for if and when it becomes appropriate. Secondly, we are constantly scanning the market and anything that will allow us to advance our technical road map or advance the delivery to our customers of our services and systems is something that we will find interesting. And that's a pretty wide gambit, but it is also important to us that we get a deal that will be good. You are not just out there to acquire things. But we are looking at everything. So, if you have suggestions, send them our way.
David Williams: Certainly, we'll do that. We'll do, and maybe Peter, just kind of thinking about the day-to-Day impact of Chris leaving. What are the operational aspects that may be affected and any color you can provide that may give us comfort in the transition and continuity of the roadmap? I think that'd be very helpful. Thank you.
Peter Chapman: Obviously, Chris is one of the two co-founders and seminal in the quantum computing business starting way back in the mid-nineties. However, Chris would be the first one to tell you that the physics behind what it is that IonQ is doing is now been solved. It's largely an engineering problem. And we have been saying this for the last couple of years, that the company is moving from its academic or origins now to an engineering and even more so now to a product driven company.  So, while Chris is leaving, he's going back to his academic roots, he's teaching classes at Duke and we'll continue to work on quantum computing and we will partner with him and Duke University as we have always as a day-to-day operational impact. It will not have an impact kind of going forward. Chris is an advisor, has been an advisor to the company, but has no direct reports that report to him and hasn't since day one. So, it's largely will have no impact to the company. 
David Williams: And then just one more if I can quickly, can you talk a little bit about the software strategy and how you see that developing? I know at the Analyst Day you discussed the revenue really predominantly coming from hardware sales for now and maybe software later, but can you give us a sense of how you see this playing out into the model and it feels like maybe a SaaS model developing potentially over time? Is that a fair way to think about it? 
Peter Chapman: Well we have software investments kind of all up and down the stack. So, for instance, we have a team which is working on a next generation operating system for our quantum computers. And so, which is to be able to do support the next generation hardware and quantum networking and such. We have another team which is working on, next generation compiler. And so, this is one of the things that is also leading us to AQ 64 is to be able to optimize the circuits and to be able to make sure the compiler generates gates, which are gets the best performance out of your particular application. If I go higher in the stack, then you see we have a applications team today, and so they're working on applications with customers.  What we're now focusing on, which is now a little bit new in the past we've kind of worked with customers on POCs and kind of early quantum, but we're now focused on finding the one or two applications that we can get to commercial advantage where we can start to put these applications in productions so that they're ready to go when we have a tempo system.  So that's kind of our latest kind of change in focus on that front. But we have a fairly large software group inside the company. It's been said before that a large part of what IonQ is doing, obviously there's a hardware component, but most of the things that we do is controlled by software. So, it's very much a software investment in terms of being able to get performance out of our systems. 
Jordan Shapiro: Okay. Operator, if we go to the next caller. 
Operator: The next question comes from Quinn Bolton with Needham & Co. Please go ahead. 
Quinn Bolton: Peter and Thomas, I'll offer my congratulations as well on the continued momentum. Peter just wanted to challenge you a little bit on what you said on IonQ sort of transitioning more to an engineering, and even a product company. I think you guys have established pretty good track record on the technical milestones to date for the AQ roadmap. But I guess what I'm wondering is it still feels like there's a fair amount of work to be done on quantum networking and quantum error correction. And wondering, if you could provide your thoughts on some of those challenges. Maybe they're not physics, but still feels like there's some work to be done there. And was wondering if you might be able to comment on those two areas.
Peter Chapman: Certainly, we have Dean here, and I'll -- I can pass it to you. There is not a shortage of something to do, and in part there's not a shortage of kind of areas to go after for the company. So, when we talk about my comments were mostly focused around kind of quantum computation and getting to AQ 64, but you're a 100% right. There's a wide-open field in quantum networking as an example. And so, that will require more science than maybe the computation side.  But I'll give it to Dean to comment. 
Dean Kassmann: Thank you, Peter. So, you are correct. We have a big engineering lift in front of us. If you think about photonic interconnected systems, right? Chris's lab was one of the first to develop and kind of demonstrate the interconnects working using different colors of light? And so, we're currently working through those pieces. We have that research actually occurring here in the Seattle labs. And so, as we move forward, the engineering focus is going to be on not the physics aspects of that as much as will be towards developing micro-optics, being able to do all of the other pieces of the software stack to be able to support all of those. Those are going to be engineering, optical design, mechanical engineering problems that we have in front of us. And so that's really where our focus will be over the coming year. 
Quinn Bolton : I appreciate that, thank you. Second maybe for Peter and Thomas, wanted to see if you might be able to sort of compare and contrast the AFRL deal with the quantum basal deal. The revenue seems to be a similar, I think, but not sure if you'll comment whether these are 100% system sales to AFRL, it sounds like they may be. And then you mentioned recognizing revenue over the next 18 months as you moved towards system delivery. I thought with quantum basal it was more you would rev rec once those systems were put in place, which would imply perhaps a little bit later rev rec policy for quantum basal and maybe a little bit earlier for the AFRL lab. And so maybe, maybe just walk us through the rev rec accounting on the AFRL transaction. 
Peter Chapman : Yes, and I think, this we'll tag team this one. So, the deals are different and that one of them is for quantum networking, and the other one is for quantum computation and application work. And they also have two different delivery windows. And I will let, Thomas just talk about how that impacts revenue.
Thomas Kramer: Yes, absolutely. So, if you think about what we said about the QuantumBasel deal, these are two systems that will be delivered on-prem in Switzerland. And the customer will be running their jobs there for a period of roughly five years. We will start recognizing revenue on the system part of that itself once first system is up and running until the end of the contract. We will swap out the machine in between. But that is essentially a system deal.  We are retaining part of the capacity of those systems, so that we will use it pretty much as a beachhead into Europe. And that is a super exciting deal. And it shows our first series entry into Europe. And also, it shows people actually buying up two future generations of our systems in one go. So super exciting. We are also very excited about the AFRL deal, but it's a very different deal. It is for us deliver much smaller systems, which will be network nodes that AFRL can conduct research on network, sorry, quantum networking on. Now once we deliver those nodes to AFRL up in Rome, New York, the entire revenue recognition will be finished. That will take us 18 months to do.  And the reason why the revenue recognition is different here is that, it is a different part of the gap rules for recognizing revenue and is based on percentage of complete as opposed to usage. And so, we complete more of the systems, we recognize more of that revenue, and we will finish recognizing all of it when they are up and running in AFRL's Roam facility, which we anticipate will take 18 months since contract signing.
Operator: [Operator Instructions]. The next question comes from Trevor Janoskie with Goldman Sachs. I'm sorry. Please go ahead.
Trevor Janoskie: Hi. This is Trevor on for Toshiya, and thanks for letting me hop on here. So real quick on your bookings. There was the $25.5 million from Air Force Research Lab, $28 million from Basel for a total of $53.5 million. Could you provide us with some information on the remaining $5 million in bookings? And when would you expect this X systems portion of bookings to accelerate?
Thomas Kramer: I'm sorry. Could you repeat the question? I apologize.
Trevor Janoskie: Can you hear me?
Thomas Kramer: Yes.
Trevor Janoskie: Okay. So, on your bookings where you had $25.5 million with the Air Force Research Lab, $28 million from QuantumBasel for a total of $53.5 million. But your total was $58.5 million. Can you provide us with some more information on the remaining, on that remaining $5 million in bookings? And when would you expect that at systems portion of bookings to really accelerate?
Thomas Kramer: So, I mean, the difference is just that we have other contracts and other sales. We also have a small portion that we can upsell to the -- and then I was just a little bit confused, but that hasn't happened yet, and we will come back to you and tell you when that is. And I mean, it's not a monumental number, but it would be great. We can point you to the other deal announcements we met made in prior queues, and that should be enable you to just like, add them all up together. 
Trevor Janoskie: And a more longer-term question, but in your high-volume manufacturing roadmap, would you be able to quantify how many systems you believe you would be able to build within a year, let's say 2025 or 2026? 
Thomas Kramer: So, we have -- that is a great question. It's also a great problem to have. The reality is that we will be able to expand our facilities so that we can scale to any amount of demand. And we would love to be, have to worry about where can we find enough facility, but we can do that. Right now, we are planning to build a number of machines at our own facilities, but we are also planning to build some machines actually on-prem at the customer's facilities. The Switzerland machines, for instance, will be built in Switzerland, so. 
Trevor Janoskie: Understood, thank you. And just one more for -- sorry. Go ahead Peter. 
Peter Chapman: Just add one thing though. You should get your orders in early if you would like to get the first off, the line, so to speak. So, we encourage customers to order early. 
Trevor Janoskie: Understood. And one more on the quantum networking deal, it seems like, well, and you said it that these systems are different from your actual quantum computers. I guess could you provide some more color on that difference on what the difference is, maybe the how long it takes to manufacture these? Is there an AQ score that you provide for these? What, I guess anything would be helpful? 
Peter Chapman: Yeah, they're kind of -- there's two different purposes. One of them, which is the Forte enterprise and tempo systems. Those ones are people are worried about uptime and they're looking for as high an AQ number as they can possibly get. And so, they're building applications with those things. The networking is more on the R&D side, and so, what they're looking to do is to get quantum computers and then add in their own hardware to be able to do quantum networking.  And so sometimes they're asking for us to make modifications so it's compatible with their hardware. It is -- they don't care about so much about the number of qubits or the AQ. That's not really their focus. And they're more workbench systems. They care more about can we share technical information so that they can figure out how to integrate their hardware in.  So, it's kind of two different, and as far as uptime concerned, I mean, that's not really the goal of networking systems in the short term. It's not really about total uptime. It's more like, well, can we get the basics to work or can we get it to work over maybe starting at a mile and then over 10 miles and a hundred miles and hopefully eventually thousands of miles. So, it's much more of a R&D phase than what you see in the other systems, which are really production systems.  Obviously, sometime in the future we hope that quantum networking is a thing and it will drive tremendous demand for production systems. Because if you're going to build a quantum internet, you're going to need a lot of these things. And but that's obvious. We're not selling that yet today. It's mostly in R&D. I don't know if Dean, you would have, so to give you a little bit of color in terms of just the differences between the hardware and the machines, the software stacks can change based off of the customer needs, for example. And so, some of the research customer software stack, we need to tailor to AFRL's needs. On the hardware side the hardware is a lower qubit system to be able to support the networking.  Similar atomic species, they're both barium systems. It's like our tempo systems and the systems for AFRL, the optical system design has a lot of leverage from our existing systems. A lot of the mechanical design has carryover. There's some of the readout and everything is different based off of the needs of our networking. And so, while there are many common components, there are some distinct pieces, networking being one piece of it, but just part of it is just the needs of the research community versus the needs of a commercial installation. 
Trevor Janoskie: Understood. Thank you. And it seems like these quantum networking systems have a high price tag and a quicker rev rec. Could we expect more announcements like this over the next 18 months maybe? 
Peter Chapman: We certainly hope so. We'll talk about quantity, but yes, we -- I mean it's a -- there's a number of companies and startups which are working on quantum networking. So as part of our pipeline that we talked about in terms of we have a robust pipeline, we're in middle of conversations to provide more of these things with other customers. 
Operator: Thank you all very much. This concludes our question-and-answer session. I would like to turn the conference back over to Peter Chapman for any closing remarks. Please, you may proceed.
Peter Chapman: I want to thank everyone for joining us today and for all the thoughtful questions. Finally, I want to thank the entire IonQ team for the continued diligent work that allowed us to achieve many business and technical milestones this quarter. We truly believe that we are changing the world one day at a time, and I look forward to speaking with all of you soon. Thank you. 
Operator: This conference is now concluded. Thank you for attending today's presentation. You may now disconnect your lines. Have a great day.